Operator: [Audio Gap] 2025 Earnings Conference Call. [Operator Instructions] And please note that this call is being recorded. At the conclusion of our prepared remarks, we will conduct a question-and-answer session. I would now like to introduce the host of today's call, Ms. Claudia Bustamante, Investor Relations Managing Director. Ms. Bustamante, you may now begin.
Claudia Bustamante: Thank you, Louis. Good morning, everyone. Joining me on the call today is Mr. Humberto Nadal, our Chief Executive Officer; and Ms. Ely Hayashi, our Chief Financial Officer. Mr. Nadal will begin our call with an overview of the quarter, focusing primarily on our strategic outlook for the short and medium term. Ms. Hayashi will then follow with additional commentary on our financial results. We'll then turn the call over to your questions. Please note that this call will include certain forward-looking statements. These statements relate to expectations, beliefs, projections, trends and other matters that are not historical facts and are therefore subject to risks and uncertainties that might affect future events or results. Descriptions of these risks are set forth in the company's regulatory filings. With that, I'd now like to turn the call over to Mr. Humberto.
Humberto Reynaldo Nadal Del Carpio: Thank you, Claudia. Welcome, everyone, to today's conference call, and thank you for joining us today. I would like to begin with a brief overview of this quarter's results. We saw an extremely solid recovery in sales volume, up 7.1% year-over-year as a result of stronger demand for cement as well as concrete, mostly for infrastructure-related projects. Consolidated EBITDA was $130.2 million this quarter, a 9% increase when compared to the same period of last year despite the increase in expenses related to our collective bargaining negotiations. The performance this quarter reflects our disciplined execution and alignment with our strategic objectives. Turning on to the progress of our strategy. I would like to focus on the steady growth in infrastructure projects this quarter and throughout the year. It is crucial to understand that despite more than 3 decades of sustained economic growth, Peru still faces a significant infrastructure and housing deficit. As a leading provider of building solutions, we are deeply aware of our role in addressing this challenge by delivering high-quality products and services, but more importantly, those that improve the quality of life and applicability of our clients, we are not only supporting infrastructure development, but we are mainly driving economic growth and social inclusion. Cement is more than just a building material. It's a synonym for progress. There is no sustainable economic or social development without infrastructure, and we all know that. People need proper [indiscernible] access to markets, education and health services. And all that begins with solid, resilient infrastructure. Obras por Impuestos or Works for Taxes program is an innovative Peruvian mechanism that enables private companies to finance public infrastructure projects in advance of the income tax payments, receiving in exchange tax certificates. This is an excellent mechanism to contribute to national development by executing those projects that have already been prioritized by local governments, but have not yet been carried out mainly due to limited execution capabilities. This has also proven to be one of the most effective platforms for showcasing the benefits of concrete and building solutions in our area of influence. The roads we built through Obras por Impuestos have already proven their resilience withstanding severe climate events such as El Nino and Cyclone Yaku. This underlines not only the technical advantage of concrete and proper building techniques, especially in areas prone to heavy rainfall, but also and mostly the long-term value of building resilient infrastructure. We are very proud to be among the top 5 contributors to this program. And this year alone, we are committed over $100 million through it. It's an extremely powerful example of how public-private collaboration can accelerate impact. While we demonstrate the quality, durability and efficiency of our concrete solutions, we also help improve connectivity and economic opportunities and support regional development. Of course, none, and I want to stress, none of these achievements would be possible without our people. For the seventh consecutive year, we're recognized as a top-ranked cement company in the MERCO Talent index and ranked 19th overall across all industries. Talent remains our greatest competitive advantage, our greatest challenge, and this recognition reflects our commitment to attracting and developing the best professionals in the market. We are confident that these positive results are just the beginning and that the momentum will continue to build in the coming quarters. We remain extremely optimistic about the future of our country and the future of our market. I will now turn the call over to Ely to go into more detailed financial analysis.
Ely Hirahoka: Thank you, Humberto. Good morning, everyone. This quarter's revenues increased 5.9% compared to the second quarter of 2024, mainly due to the increase in sales of bagged cement, concrete and pavement, reaching PEN 484.1 million. During this same period, gross profit increased 11.2% when compared to the same period of the previous year, mainly due to the increase in cost of raw materials on top of the above-mentioned higher revenue. Consolidated EBITDA was PEN 130.2 million this quarter, a 9% increase when compared to the same period of 2024, mainly due to the previously mentioned increased operating income. For the first 6 months of the year, revenues increased 5.3% when compared to the same period of 2024. Gross profit for the first 6 months of the year increased 8.2% when compared to the same period of the previous year, mainly due to the efficiencies derived from our annual maintenance plan as well as lower cost of raw materials. Likewise, EBITDA increased 5% and EBITDA margin remained in line for the first 6 months of the year when compared to the same period of 2024. Turning on to operating expenses. Administrative expenses for the second quarter of 2025 increased 13.8% when compared to the second quarter of 2024. Likewise, administrative expenses for the first 6 months of the year increased 17.9% compared to the same period of the previous year. This increase was mainly due to higher personnel expenses because of the union bonus. In an effort to optimize times and resources, collective bargaining with our labor unions is performed every 3 years. As an incentive to close this multiyear agreement, we offer a higher bonus for the first year, therefore, increasing expenses. Selling expenses increased 28% during the second quarter of 2025 and 23.2% during the first 6 months of the year when compared to the second quarter and first 6 months of 2024, respectively. This increase was mainly due to higher advertising and promotion expenses as well as the union bonus mentioned before. Moving on to different segments. Sales of cement increased 6.3% this quarter when compared to the same period of last year, mainly due to increased demand. Gross margin increased 3.2 percentage points during the same period when compared to the second quarter of 2024, mainly due to lower cost of cement [ tissue ] materials. For the first 6 months of the year, results were similar with sales increasing 5% and gross margin increasing 2.9 percentage points when compared to the same period last year. During this quarter, concrete, pavement and mortar sales increased 9.8% when compared to the same period in 2024, mainly due to increased sales of concrete and pavement for the Piura Airport project as well as to other infrastructure projects such as riverbank defenses, the Tarata Bridge and the Yanacocha project. However, gross margin decreased 3.2 percentage points in the second quarter of 2025 when compared to the same period of last year. This decrease was mainly due to the execution of the Piura Airport project. This is a difference in exchange gain rate between the rate projected in the contract versus the real rate exchange rate as well as increased costs related to the execution of the Piura Airport project as it extended over our planned execution period. We remain confident that developing Building Solutions is the right path for our company, even if it entails some short-term learning curve additional costs. Likewise, for the first 6 months of the year, concrete, pavement and mortar sales increased 16.1% and gross margin decreased 4.8 percentage points when compared to the same period last year. Regarding precast materials, sales increased 4.1% this quarter and 5.3% during the first 6 months of the year when compared to the second quarter and the first 6 months of 2024, respectively, mainly due to an increase in sales volumes to the public sector. However, gross margin this quarter and during the first 6 months of the year was lower by 1.5 and 1.6 percentage points, respectively, compared to the second quarter and first 6 months of 2024, respectively. Moving back to our consolidated results. Net profit increased 29.9% this quarter when compared to the same period of last year, mainly due to increased revenues and gross profit as well as a reduction in financing expenses as we decreased our debt levels and therefore, reduced our interest payments. During the first 6 months of the year, net income increased 16.5% when compared to the same period of last year. Finally, in terms of debt, our net debt-to-EBITDA ratio was 2.6x, a level we feel very comfortable with. To summarize, this quarter financial results show our ability to benefit from better market conditions while managing costs in order to achieve profitability. We are confident that we will continue delivering positive results during the rest of the year. Operator, can we now open the call for questions.
Operator: [Operator Instructions] Okay. So our first question is from Marcelo from Itau.
Marcelo Sá: So guys, I have 2 questions here. It's related to the second half. So what are your expectations for volumes going forward? So should we expect the same trend as seen in the first half with this from mid- to high single-digit increase in volumes for Pacasmayo? And my second question is related to the CapEx. We have seen the company disbursing this around PEN 300 million per quarter as CapEx. So I just would like to see what are your -- what is your expectation for CapEx for the second half of this year? And also if you could break this down between maintenance CapEx and growth CapEx to help as well. So these are my 2 questions.
Humberto Reynaldo Nadal Del Carpio: Thank you, Marcelo. In terms of volumes, we think the trend will remain single high digits, I think, is going to be a trend for the second part of the year. It's going to depend greatly on how infrastructure projects unveil. And we have things like the Tarata, La Leche, Motupe. Sometimes you're supposed to start in August and they start 2 months later. But in general, I think it's very positive. I think the trend should remain. And in terms of the CapEx, we've been stating that at this point, we are not involved in any substantial increase of capacity. Our sustaining CapEx is around PEN 100 million every year that is dedicated to our 3 plants and all our ready-mix plants. And we have small initiatives of CapEx, maybe $2 million, $3 million, but nothing really substantial during this year or the coming years. We are -- I mean, in terms of capacity at 70-something percent, so we are ready to engage in increased demand without increasing CapEx.
Marcelo Sá: Okay. If I just follow up here a little bit. In terms of -- as you guys are expecting this high single digit for volumes increase for the second half, how -- what could we expect for margins here? Maybe could we expect some EBITDA margin improvement versus the first half? Or do you believe maybe margins will be flattish versus the first half? And if I may, just one final question related to dividends. As you guys mentioned that you don't have any expectations of a huge growth projects going forward, so what are the company's expectations for dividend distribution maybe for 2025?
Humberto Reynaldo Nadal Del Carpio: So in terms of EBITDA margin, it will remain between 28% and 29%. And in terms of dividends, I mean, this is a decision that's really made at the Board and the shareholder level. But I mean we've been, over the last years, very consistent on the dividend level. And this year, we see no reason to change. And if anything, I said in the past, the company policy has been always that the excess cash belongs to the shareholders. I think there's a higher chance of that dividend going higher than going lower. But for sure, I think it will remain at the same level as previous years.
Operator: Our next question is from Omar Avellaneda, from Vinci Compass.
Omar Avellaneda: I just have one question. We just recently saw CEMEX used Chancay ports to import cement. Does this infrastructure change competitive dynamics in the Peruvian market?
Humberto Reynaldo Nadal Del Carpio: Thank you for the question. I think Chancay is a great port. It's a great news for the country. You have to bear in mind that Chancay is very close to Lima. I mean if you talk about dynamics in our market, I mean, we are much more influenced by any changes that will happen in the Salaverry port and Paita port. That being said, yes, every new port may change a little bit dynamic, but really associated to the areas close to the port. I mean if you ask me, I mean, is it going to influence the South? No, it's going to influence the North the Chancay port, maybe a little bit, but it's fundamentally focused into Lima. Chancay is an alternative to the [ Callao ] port. And if I got precise that one of the reasons they use Chancay in the CEMEX case was because for technical reasons, [ Callao ] was not available at the given point of the ship coming into the country. I don't know in the future, they will repeat the same point.
Operator: [Operator Instructions] Okay. It looks like we have no further questions. I will now hand it back to the Cementos team for the concluding remarks.
Humberto Reynaldo Nadal Del Carpio: Thank you. This quarter's performance reflects the strength of our long-term strategy and our ability to execute with purpose. Cement is at the core of Peru's development. It underpins better housing, safer roads and more connected inclusive communities. We firmly believe that poverty is one of the greatest threats to the environment. Without access to economic opportunity and basic infrastructure, it is difficult for communities to invest in sustainability. That is why our work goes beyond building materials and focuses on enabling a more equitable, resilient and sustainable future for all. We have started in a great manner the first semester of this year, and we are convinced the second semester will follow, and we will post hopefully record results for this year. Thanks to everybody for the continued interest in our company. And as always, should you have any further questions, we'll always be here. Thank you.
Operator: This concludes the call. Thank you, and have a nice day.